Unknown Executive: This presentation and comments made in the associated conference call today may include forward-looking statements. Words such as believes, expects, anticipates, intends, plans, estimates, projects, forecasts and future or conditional verbs such as will, may, could, should and would, as well as any other statement that necessarily depends on future events are intended to identify forward-looking statements. Forward-looking statements are not guarantees, and they involve risks, uncertainties and assumptions. There can be no assurance that actual results will not differ materially from our expectations. We caution investors not to rely unduly on any forward-looking statements, and urge you to carefully consider the risks identified under the captions Risk Factors, Forward-Looking Statements, and Management Discussion and Analysis of Financial Conditions and Results of Operations in our annual report on Form 10-K, and quarterly reports on Form 10-Q, which are available on the Securities and Exchange Commission's website at www.sec.gov. All written or oral forward-looking statements that we make, or that are attributable to us, are expressly qualified by this cautionary notice. We expressly disclaim any obligation to update the information in any public disclosure if any forward-looking statement later turns out to be inaccurate.
Operator: Welcome to Invesco's First Quarter Results Conference Call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. Now I'd like the call over to the speakers for today, Mr. Martin L. Flanagan, President and CEO of Invesco; and Mr. Loren Starr, chief Financial Officer. Mr. Flanagan, you may begin.
Martin L. Flanagan: Thank you very much. And thank you, everybody, for joining us today. This is Marty Flanagan, and I am joined by Loren Starr. And we'll be speaking to the presentation that's available on the website, if you're so inclined to follow. Today, as is our practice, we'll review the business results for the first quarter, including a discussion regarding the United Kingdom. And then, Loren will go into greater results in the operating results, and we will then open it up to Q&A. So let me start by hitting the highlights of the firm results during the first quarter. You'll find them on Page 3 of the presentation. Long-term investment performance remained strong during the quarter, 81% of the active managed assets were ahead of peers over a 3-year period; strong investment performance; a broad first year flows and continued focus on clients contributed to long-term net inflows of $6.5 billion for the quarter. Adjusted operating income was up 18.5% compared to the first quarter of last year. These numbers supported a further improvement in our operating margins to 40.9% versus 40.5% in the prior quarter and 38.4% in the same quarter a year ago. Reflecting continued confidence in the strength and potential of our business, we're raising the quarterly dividend to $0.25, up 11% from 2013. Assets under management were $787 billion during the first quarter, up from $778 billion in the prior quarter. Operating income was $363 million versus $347 million in the prior quarter. Earnings per share were $0.60, up from $0.58 in the prior quarter. We also repurchased $120 million of common stock during the quarter, representing 3.6 million shares. And as I mentioned earlier, we are raising our dividend. Now before I go -- before Loren goes into the details on the company's financial results, let me take a moment to review the investment performance. I'm now on Slide 6. Investment performance during the quarter was strong across the time period. 81% of assets were ahead of peers on a 3-year basis, and 73% of assets were ahead of peers on a 1-year -- over the past year. As we mentioned during the last quarter's call, the relative softness in the 5-year number reflects the rolling off of some very strong numbers in the fourth quarter of 2008 in a brief period where we trailed the market during the low-quality rally in 2009. We expect our 5-year number to demonstrate further improvement over the second and third quarters of this year. As you might expect with numbers like these, the long-term performance of investment teams across the enterprise was really quite strong, with a number of capabilities achieving top [ph] performance. Turning to flows, on Page 7. You'll see gross sales remained strong during the quarter, nearly doubling gross sales from 2 years ago. In addition, redemptions tapered off, which led to an improvement in net long-term flows. Importantly, gross sales of active AUM for the quarter also nearly doubled results from 2 years ago. As I mentioned, total net long-term flows were $6.5 billion during the quarter. These numbers reflect the broad diversity of flows we saw across our global business during the quarter, which included strength in fixed income, equities, alternatives and ETFs. So obviously, very broad. Gross sales within retail and the institutional channels were quite strong also. Institutional gross sales doubled from 2 years ago and retail sales nearly doubled. The institutional channel saw continued demand in real estate and bank loans, in particular. During the quarter, we were -- there was roughly a $3.5 billion low fee redemption from a single client in one account, which accounts for the lower net flow number. Gross sales for our retail business remained strong at $19.2 billion for the quarter, up 4% over the prior quarter. The annualized redemption rate for Invesco remained favorable to the industry. Redemptions also remained steady during the quarter, which resulted in net sales of nearly $3 billion. Flows into the complex were led by strength in our traditional ETFs, U.S. Value and International Growth Equity. We continue to see a diversified mix of sales and moderating outflow picture for ABRA. Our U.S. business has become increasingly diversified. We saw 14 retail mutual funds with net flows of greater than $100 million over the rolling 12-month period ended March 2014, versus 9 funds in that same period during 2012. Additionally, there were 21 PowerShares traditional ETFs with net flows over $100 million over the rolling 12-month period ending March 2014, versus 12 in that same time period 2012. We feel good about momentum in our business. We remain confident in our ability to deliver a high level of value to our clients. And we believe the firm is well positioned regardless of where the markets take us. Before I turn over to Loren for a more in-depth report of quarterly financial results, let me take a few minutes to discuss our positioning in the EMEA region. All of you are aware of 2 recent developments in U.K. business. St. James's Place made a decision to transition approximately $13 billion out of Invesco Perpetual separate accounts, which will impact the second quarter. On Monday, the Financial Conduct Authority confirmed conclusion of its investigation of Invesco Perpetual's compliance with certain FCA rules and principles during the period from May 2008 to November 2012. These issues are historical issues, and the FCA has noted that Invesco Perpetual acted promptly to enhance its systems and controls. We're confident the systems and controls within Invesco Perpetual are now strong, effective and compliant with ethical regulations. The small number of impacted funds were fully reimbursed. This matter has been fully resolved with the FCA and is now closed. The financial penalties were approximately $31 million, will not have a material impact on our business. We're pleased to have these issues resolved and fully communicated to the market so we can focus further on building our momentum in EMEA. And so, let me spend a few minutes providing some perspective behind our confidence in this business. As you're aware, investment performance of U.K. retail and across the board, our fund range has been very strong and continues to be. Our well-tenured investment management team has been widely recognized in the market. The transition to Mark Barnett has gone very well. With his excellent track record, the market has been extremely receptive to his leadership in the U.K. equity team. And the team is focused on delivering strong, long-term investment performance to our clients. We have a diversified range of highly competitive funds across the franchise, strong organic growth across EMEA, and a very well-recognized brand in the region. I'm on Page 12, for those that are following. And in particular, Invesco Perpetual has a deep well-tenured investment team that has consistently delivered investment excellence to our clients. We've talked about this in the past, about the team's phenomenal performance. And you can see, during the first quarter, 97% of the assets across that business were above peers on a 3-year basis. The 5-year numbers were impacted by the market's bounce off the bottom in the first part of 2009. Invesco Perpetual trailed in what would have been characterized as a low-quality rally at that time. The 2 primary strategies impacted for the high income and income equity funds, which represented 35% of our assets under management. Our projections show strong investment performance in both of these portfolios returning by June of this year, potentially achieving 98% of AUM in the top half over a 5-year -- over the 5-year period. Investment performance for cross-border fund range has also been strong, with 91% of our assets above peers on a 3-year basis and 89% on a 5-year basis. The top 6 cross-border retail funds by growth flows in the first quarter all had top quintile 5-year performance track records with the Pan-European high income fund, Pan-European equity fund. The top 1% and 2 percentiles, respectively. Strong investment performance drove success in our cross-border retail business, which experienced $10 billion in net flows across all of 2013, and approximately $5.1 billion of net inflows during the first quarter of this year. We continue to make progress, further diversifying our EMEA business with a strong net sales into the European equity and fixed income strategies. A key strength of our business across EMEA is the broad and a highly diversified range of capabilities we provide to our clients. The increase in demand for Invesco's European equity, global equity, Asian equity capabilities, together with the GTR fund, has led to a more diversified U.K. retail business. As you can see on Slide 14, gross sales are meaningfully higher than a year ago, driven by the long track record of a strong investment performance. U.K. retail gross flows continued to increase in the first quarter to $3.6 billion, up approximately 25% over the same period -- same quarter a year ago. Importantly, flows into the funds have been highly diversified reflecting strong performance across the range. In 2009, 80% of gross sales came through 4 products. By the first quarter of this year, 80% of gross sales were driven by 16 products. We have been pleased by the tremendous support we continue to receive from the advisory market. We're seeing this in our sales numbers as well as the conversation we have with the advisors everyday. During the first quarter, we were in first place for gross sales at 2 of the largest platforms in the United Kingdom. Particularly, I'd like to note that investors' response to the recently launched global target -- targeted return fund has been very favorable. Performance since the launch, although recognize it's only 2 quarters, has been excellent and consistent with our expectations of how the strategy would behave in these market conditions. Assets under management in the U.K. and cross-border GTR funds has raised $380 million by the end of March. As you can see on Slide 15, our cross-border business has experienced tremendous growth due to strong investment performance and increased distribution effectiveness. Gross sales in the fund range have nearly quintupled over the past 3 years. And for us, a broad range of capabilities. A key strength of this part of the business is the diversity of flows we're seeing most recently across fixed income, European equities, global equities, Greater China, Japanese equities and multi-asset. Strong asset sales has helped drive a steady growth in assets under management. Our focus on delivering strong investment performance to clients has helped our cross-border business improve its market share. Over this time, rate had increased it from 2.5% in 2010 to almost 4% this year. Given our solid investment performance and strong focus on clients, we're optimistic we can continue to grow our EMEA business over time. Assets under management of our EMEA business totaled $178 billion at the end of the first quarter, as you can see on Slide 16. During the first quarter, net flows into EMEA, excluding U.K. equity income, were $6.5 billion, representing an annualized organic growth rate of 21%. As I mentioned earlier, the market has been extremely receptive of Mark Barnett, who has an excellent track record. Mark is supported by the strong Invesco Perpetual investment team in his leadership role for the U.K. equities. As a result, a number of key clients are choosing to stay the course including Edinburgh Investment Trust, which announced that it's retaining Invesco Perpetual as the manager of the trust. We find these results very encouraging. And we'll continue to do everything we can to deliver good outcomes to our clients, retain assets and grow our EMEA business. As I mentioned, we're very well positioned for long-term success across the U.K. and Continental Europe. First and foremost, our track record of delivering strong investment results to our clients is superb. We have an outstanding winning investment team and highly regarded investment culture. Given the strong investment performance, we are seeing solid demand for a broad range of diversified capabilities, which is supporting a high-level organic growth across EMEA. With some of the key issues resolved in U.K., we're focused on executing our strategy in building on the tremendous momentum across EMEA. With a little cooperation from the markets, we're very confident on our ability to continue delivering for clients across the business. And with that, I'd like to turn it over to Loren to speak, in more depth, the financial results. And then, we'll open up to Q&A.
Loren M. Starr: Great. Thank you, Marty. So quarter-over-quarter, our total AUM increased $8.6 billion, or 1.1%. That was driven by positive market returns and FX of $9.5 billion, and long-term net inflows of $6.5 billion. And these increases were partially offset by outflows in money market funds and the QQQs, which amounted to $7.4 billion. Our average AUM for the quarter was $779.6 billion. That was up 2.4% versus the fourth quarter average. And our net revenue yield came in at 45.6 basis points. That's an increase of 0.6 basis points quarter-over-quarter. The increase was a result of higher performance fees, service and distribution fees and other revenues, which was partially offset by 2 fewer days during the quarter. And before we discuss operating results, I wanted to provide a brief update on the second quarter flows. Marty already discussed the $13 billion SJP, St. James's Place redemption, that occurred in April after adjusting for the U.K. outflows. I'm happy to say that we continue to see momentum in the rest of our business. Our long-term inflows x U.K. in April were roughly in line with the monthly volumes we saw in the first quarter. So with that said, let's go to the operating results. Our net revenues increased $30.5 million, or 2.6% quarter-over-quarter to $887.8 million, and that included a positive FX rate impact of $1.8 million. Within the net revenue number, you'll see that our investment management fees grew by $6.2 million, or 0.6% to $989 million, and this increase was in line with our higher average AUM after allowing for 2 fewer days in the first quarter. FX increased investment management fees by $0.9 million. Service and distribution revenues were up by $8.5 million, or 3.7%, an increase reflected higher average AUM, again, after allowing for day count as well as a $6.5 million increase in ongoing asset-based service fees. FX increased service and distribution revenues by $0.1 million. Performance fees came in at 300, I'm sorry, that's a big number, not that big, at $33.6 million, an increase of $22.5 million from Q4. Our performance fees in the first quarter were in fact greater than expected and they were driven by the U.K., which contributed $27.6 million and by our quant [ph] equity bank loan group, which contributed most of the remaining $6 million. FX increased performance fees by $0.8 million in the quarter. Other revenues in the first quarter were $35.7 million, and that was an increase of $2.4 million versus the prior quarter. The increase was due to higher front-end fees resulting from increased sales activity in Continental Europe. You should note that these front-end fees in Europe are, in fact, passed through to third-party distributors and are netted within our third-party distribution expenses. FX had no impact on other revenues. Third-party distribution, service and advisory expense, which can be net against gross revenues, increased by $9.1 million, or 2.3%. This increase was in line with the day count adjusted retail investment management fees, service and distribution revenues and higher front-end fees. FX had no impact on these expenses. Moving on down the slide, you'll see that our adjusted operating expenses at $524.8 million increased by $14.7 million, or 2.9% versus Q4. FX had no overall impact on our operating expenses. Our employee comp at $353.1 million increased by $20.8 million. That's 6.3% increase. This was driven by 3 factors. You had higher seasonal payroll taxes, an increase in variable compensation associated with our Q1 performance fees, and also there was a partial impact of base salaries and share-based compensation increases that went into effect on March 1. FX decreased compensation by $0.2 million. Looking forward, we'd expect compensation to decline by approximate $10 million in the second quarter and then remain flat for the remainder of the year. Importantly, this guidance assumes flat AUM from the end of Q1. Our marketing expenses decreased by 6.9%, or 22%, to $242 million. FX decreased these expenses by $0.2 million. The marketing expense was in fact lower than we anticipated this quarter. Now as a result of delayed timing of spend, we expect marketing expense to increase by approximately $5 million to $10 million in second quarter, and then level off at a roughly $27 million to $29 million per quarter in the back half of the year. Property office and technology expense came in at $77.7 million in the first quarter, and that was up $2.8 million. The increase reflected higher outsourced administration costs associated with increased sales activity in Continental Europe as well as continued investment in our technology platforms. FX increased these expenses by $0.1 million. Looking forward, property, office and technology costs will remain around $78 million to $80 million per quarter but may, of course, experience some variability due to sales activity in Europe. General and administrative expenses came in at $69.8 million. That was down $2 million, or 2.8%. The decrease was due to lower professional services costs related to new product development that occurred in the fourth quarter. FX increased G&A by $0.2 million. We expect our G&A line item to remain around that $68 million to $70 million per quarter level as we look forward. And then, continuing on down the page, you'll see that our nonoperating income increased slightly $0.4 million compared to the fourth quarter. And the firm's effective tax rate on pre-adjusted net income in Q1 came in at 27%. This increase in the tax rate quarter-over-quarter was due to a onetime 0.8 percentage point increase resulting from new tax legislation enacted in the New York State in the quarter. Looking forward, we expect the effective tax rate to remain between 26% to 27%, which leads us to EPS at $0.60 and our adjusted net operating margin of 40.9%. And with that, I'm going to turn it back over to Marty.
Martin L. Flanagan: Thank you, Loren. So we'll open up to Q&A.
Operator: [Operator Instructions] The first question comes from Bill Katz from Citigroup.
William R. Katz - Citigroup Inc, Research Division: Okay. Appreciate the extra color for core trends into April. I just wonder if we could back up and just focus on the U.K. footprint for a moment. I guess, there have been a couple more portfolio managers that have announced they're leaving to go join with Woodford. So maybe the broader question is, what's been the general reaction into April, particularly given the big outflow out of St. James, for retail at large? And then, just tactfully, what are you doing here to stem any kind of further PM turnover?
Martin L. Flanagan: Thanks, Bill. So again, as I've mentioned earlier, I think the main thing to look at is what's the reaction is. You look at -- let the numbers talk, right? So it's been known for a good long time that Neil would be leaving, and gross flows, sales are up 25% year-over-year. You look at the diversity of the flows, it just gets stronger and stronger. So that's really important. And also, again, just during the first quarter and sort of the continued feedback we get is very strong from the advice channel. And as I said, we actually had the highest place in gross sales in the 2 largest platforms during the quarter in the United Kingdom. So those are all very strong, I think, leading indicators of where we're going to go. And with regard to the 3 individuals that left, we actually anticipated that these individuals might leave. They were junior people. They were not long-tenured and, importantly, they were not contributor to Mark Barnett's excellent long-term track record. And only one of them managed money, and his responsibilities have been assumed by an individual who works very closely with Mark and the core team. And Mark has been building out his support team. And since the start of the year, he's added 3 highly regarded individuals with strong backgrounds. So we view these departures as very manageable and, as I said, they were not fully -- we somewhat anticipated these.
Loren M. Starr: And, Bill, just specifically in terms of the equity income. Other than the SJP announcement, it's been no different trend than what we've been seeing, generally pretty muted response. I mean, still outflow. But not anything that is sort of spiking up or doing anything different.
William R. Katz - Citigroup Inc, Research Division: Yes, it's helpful. And just one follow-up, Loren. There are a lot of moving parts. Your guidance is helpful. But when you think about flows coming in versus what's going out, looks like it's pretty high incremental margin year-on-year in the quarter. But how do you think about incremental margins? Maybe, what sort of a reasonable range of expectation here?
Loren M. Starr: Well, I think we're still sort of in that -- sort of roughly 60% incremental margin range that we've been. If markets are strong, it would be moving up probably to 65%, and perhaps higher. Submarkets, we've said sort of 55% to 60% was the right range for you to be thinking about. And we think 60% is probably a good place to focus.
Operator: The next question is from Ken Worthington, JPMC.
Kenneth B. Worthington - JP Morgan Chase & Co, Research Division: I wanted to maybe dig into EMEA a little bit. So what has led to the big improvement that you've been seeing here? Basically, sales have been accelerating at a really rapid pace over the last 12 months. We'd thought that this might be a transition from fixed income to equity, but your fixed income EMEA business is doing well. So I guess the question is, if performance has been good for a while, what's really changed again in the last 12 months?
Martin L. Flanagan: Yes. So thanks for the question, Ken, because you probably won't remember. But if you go back to -- when these conversations by almost 3 years ago, we told everybody that we really wanted to make a difference in a cross-border market. Europe was going to be a focus of ours, and it has been a broad, deep effort over the last 3 years. And what that included was looking at the range of products we had available. There's been a pretty broad revamp of those products. The performance had been very, very strong. We actually redid the servicing model to drive service levels up for clients. And also, a much greater focus on the improvement of our distribution capabilities and how effective we were. And so, it's 3 years of effort that starts to show up in the last 12 months, which is very typical. It's just hard to have that all come together. And as I said, we've been in that region for a long time. We were not happy with where we were. And we'd still say, as we look over the next 3 years, we look to just continue to get stronger in that market.
Kenneth B. Worthington - JP Morgan Chase & Co, Research Division: Okay. Any specifics you can give us in terms of the expansion of the sales force for the cross-border products?
Martin L. Flanagan: Yes. I don't have those specific numbers. But what I would say, this might be sort of boring to you, but it's really taking sort of the best practices that we have in different parts of the world and taking them to Continental Europe and just being much more effective and thoughtful on how we execute with our clients. So there's been a tremendous amount of effort there, but I don't have the specific change in wholesalers, et cetera.
Kenneth B. Worthington - JP Morgan Chase & Co, Research Division: And then, maybe, Loren, for you. In terms of performance fees, why were they better than you had guided to? I had thought that the majority of performance fees in the U.K. really came from the Edinburgh Trust. And I thought that was restructured when they kind of renewed their contract with you. So if you could just help us with some of the details there.
Loren M. Starr: Yes. Absolutely, Ken. So -- of the performance fees, the $33.6 million, $27.6 million were related to the U.K., $13 million was specifically related to the Edinburgh Trust. And so, that was the part that I would say would not recur. There's about $20 million that is the rest of it. And $14 million of that came from, actually, a fund that Mark Barnett -- close to $14 million of that came from a fund that Mark Barnett himself manages. So it is, again, one of these things that, that performance to that other fund that showed up was very, very good and better than we had anticipated, and showed up as a performance fee that was not in our original forecast. So hopefully that's helpful.
Operator: The next question is from Daniel Fannon from Jefferies.
Daniel Thomas Fannon - Jefferies LLC, Research Division: I guess, just -- we have the expense guidance, but just generally speaking, given your outlook for what we -- or you're seeing in April in terms of flows and thinking about the fee rate and then kind of the margin outlook as you kind of progress through this year and some of those headwinds and some of the markets are flat, just based on kind of where demand trends are. How should we think about that?
Loren M. Starr: I mean -- so I think in terms about the thing on margin outlook, we talked about incremental margin, roughly 60%. So certainly, we expect to continue to grow organically. And we've been seeing good strong growth. Obviously, the reality is we do have an outflow that's known in the second quarter, $13 million -- billion that is going to take our average assets down. But the good news is, we're seeing offsets to that through growth in Europe and elsewhere. So for us, even though we've had some benefit of market, we're obviously balancing that against the known outflow. So we think the 60% incremental margin for this year target is probably a good place for analysts to put in their models.
Daniel Thomas Fannon - Jefferies LLC, Research Division: And your comments about April in comparison to first Q -- 1Q, should we just assume that kind of the inflow trends were pretty consistent throughout the first quarter to kind of get a sense of kind of the other segment of your business in April?
Loren M. Starr: I mean, roughly, yes. I mean, obviously, things shift around a bit. But yes, I mean, the things that have been flowing strongly, or continue the strong -- strongly flow like bank loans, real estate, some of the Pan-European equity, some of the bond funds in Europe as well. So those are definitely still providing us the lift in April.
Operator: The next question is from Brennan Hawken, UBS.
Brennan Hawken - UBS Investment Bank, Research Division: So net flow number for active was really solid. Do you guys have insights into what drove the incremental increase in redemptions? Is there anything behind there? Maybe, could you help us understand?
Loren M. Starr: Well, we had the one large redemption that Marty talked about, the single account, $3.5 billion low fee. That was an active mandate that was definitely a hit to the active...
Brennan Hawken - UBS Investment Bank, Research Division: So that was active, but low fee.
Loren M. Starr: Correct.
Brennan Hawken - UBS Investment Bank, Research Division: Oh, I see. Okay. And then, when we think about ABRA, I think you guys highlighted that outflows moderated here in the quarter. This is -- it seemed like a good quarter for ABRA given you guys have highlighted it as a conservative strategy. And we saw some volatility here in the quarter. Is what you experience here this quarter in improving on, maybe some color on the sales versus redemptions, did you see increasing interest on that product given what we saw in the markets?
Martin L. Flanagan: Let me make a couple of comments, and Loren can get more specific. So the good news about sort of volatility year-to-date is that people remember why ABRA was important part of their portfolio, and that has been an important reason for the slowdown in the outflows. I think, also, realizing that in a retail market, the peer groups are really sort of the hodgepodge. But when you look at risk parity, it is a very, very strongly performing capability. And where there interest continued was in the institutional market. And so, again, as we've always said, sort of more challenging markets, you'll see people focus on ABRA. But in a rising equity market, individuals will go to equity capabilities. And we saw that change. And so, again, I think it's a very good product, positioned very strongly, and is being understood that way in the marketplace.
Loren M. Starr: Yes. And I'd say, generally, the level of redemptions has moderated. So it's certainly been helpful.
Brennan Hawken - UBS Investment Bank, Research Division: And I guess, where sales...
Loren M. Starr: The level of redemption -- yes, I think sales have been stable and the biggest change has been just lower redemption rate.
Brennan Hawken - UBS Investment Bank, Research Division: Terrific. And then, last one for me. So we heard about reports about Woodford's new fund getting delayed. And I was hoping maybe you guys could help me think about it because I'm not -- I'm struggling whether or not that's a positive for you guys or negative because if it delays, it drags the whole process out. But it gives you guys more time with clients, maybe an opportunity to show better results and keep more AUMs. So how do you guys think about that?
Martin L. Flanagan: Actually, we don't think about it. So the reality is he went from a colleague to now a competitor as of May 1. And we compete with some very talented organizations that have been in the market for decades with enormous resources. And we're going to do just fine. And I think that's what we showed. And I think, really to your point, I think the bigger institutional or single-trigger mandates, we think we're largely through that. I mean, I think the way you should be thinking about this is post second quarter, the toughest stuff is behind us. So I think that's really how we should be thinking about it.
Operator: The next question is from Michael Kim, Sandler O'Neill.
Michael S. Kim - Sandler O'Neill + Partners, L.P., Research Division: So, Marty, first, just sort of a big picture question. Just being curious to get your take on how you see the underlying mix of the franchise evolving over time from a geographic standpoint. Clearly, momentum continues to build in Europe and Asia. And the U.K. business x Woodford continues to really strengthen. But at the same time, I would imagine the U.S. retail business is picking up, just assuming investors continue to move up the risk curve. So just taking all those things together, what does your footprint look like a couple of years down the road? And what might be the implications for sort of economics of the business?
Martin L. Flanagan: Very good question. So maybe up within the context of what we talked about in the past. So one bigger thought was we wanted to do much better in the United States a number of years ago when we had these conversations. We are starting to do that. We are strongly, strongly positioned here. And we would anticipate with the performance in our certain clients from distribution service levels. We would just look for the U.S. business to continue to strengthen. We did point out 3 years ago that we wanted to be much stronger on the continent, and we are showing that result. I'd still say we're third inning, using the baseball analogy, of where we should get to. One of the strongest parts of the business, quite frankly, is our position in Greater China. And it's -- I think there are some people who have a macro view that China is a headwind. That maybe the case in the short term, but when we look out 3 to 5 years, it is a force. And we could not be more better positioned into that. And then, if you look at, again, maybe some -- what's happening within the marketplace. Our ETF business goes from strength to strength. And we would continue to see that as a big contributor. And I think, also, importantly -- and again, you've asked this. Looking for out 3 years it is very clear to us that the advice channel, retail advice channel is focusing much more on outcomes for their clients. And with that evolution there, looking at a much broader range of investment capabilities, and I just want to say it's, historically, equity, fixed income. Clients are seeking lower volatility. They want some inflation production and all these different types of things. So what you saw from us at the end of last year, in particular, and here, was the introduction in the United States of arguably the broadest range of liquid alternative capabilities that will complement very much our traditional asset classes and focus on this evolution in the advice channel, which is not dissimilar to what the institutional market has done. That focus is not limited for us to the United States. We're taking that approach in the U.K., on the continent. And Asia is coming on also with it's just more complicated to get to the market there. So we think we're positioned for where the market is going, looking out 3 years. And again, I think you just have to look at the depth and breadth of the investment capabilities and the performance. This is very strong. And we'd supportive of strength for the next 3 years.
Michael S. Kim - Sandler O'Neill + Partners, L.P., Research Division: Okay. That's helpful. And then, just a follow-up on ABRA. You touched on this earlier, but just curious to get an update on maybe where you stand in terms of marketing those strategies into the institutional or the non-U.S. channels. Just trying to think about the growth opportunities and where you are in that process.
Martin L. Flanagan: Yes. So remember, ABRA actually started in institutional market. And it was really the phenomenon that -- it was accepted strongly in the retail market. Where the more recent flows have been a continuation in the institutional market with ABRA. It is available in the United Kingdom, it is a great complement to the GTR fund. And it is also been in the SICAF lineup. And again, it's also being received very well. It is a more complicated product in Asia just because of the regulators' aversion to derivatives. So -- but for Asia, we think it's positioned really quite well for the long term.
Operator: The next question is from Patrick Davitt from Autonomous.
M. Patrick Davitt - Autonomous Research LLP: We all kind of -- we're aware, obviously, of the sleeve of SGP's mandate that was with Woodford fund, but I think everybody was a little surprised by the big slug[ph] that was moved to Threadneedle. Have you guys gotten any more color on what drove that decision? And whether it's performance issues or price issues or just something else?
Martin L. Flanagan: Yes. I don't have really any more feedback than really the question you're asking. It was a much larger switch than what we had thought the performance of equity. All the capabilities was very, very strong. There had been a review or the balance mandate, and that was really probably the outcome. So some more strategic view that they were taking. And yes, how to have that managed than anything else. That said, we feel very strongly that we would have done an exceptional job, but there was opposition. So...
M. Patrick Davitt - Autonomous Research LLP: Okay. That's helpful. And then, in PowerShares, a broader question, I guess, around operating leverage and contribution to the whole. You've obviously seen nice expansion of the breadth of flow there, away from QQQ. I'm curious if you kind of have an idea of what the non-QQQ AUM level is for that business to really -- or you really feel like you're at a scale that the operating margin -- or operating leverage really kicks in there?
Loren M. Starr: And so, Patrick, I think we arrived at that level already. We're seeing significant flows -- continued significant flows into our traditional PowerShares AUM. And so, in aggregate, we are sort of -- we came at exactly like $40 billion, at least $50 billion, probably $50 billion of AUM in our traditional PowerShares. And because the fee rate on those products are higher than the so-called term market cap-weighted type of index, which tends to be 10, 12 basis points, while we are in the 35 to 40 basis points average. We're absolutely at scale now. And the contributions are significant in terms of helping our margins expand as that asset base grows.
Operator: The next question is from Chris Harris, Wells Fargo Securities.
Christopher Harris - Wells Fargo Securities, LLC, Research Division: Another follow-up on Europe. Just wondering if this region, we know has been performing really well, flow has been great. I imagine it's high fee relative to other parts of Invesco. But how should we think about this region in terms of incremental margin? I know you gave 60% guidance for the firm overall, but would you say that this particular region has -- is maybe higher incremental margin than the firm on average? Or is it a little bit more complicated than that?
Loren M. Starr: I mean -- I think, obviously, it's growing faster, which is great. And it's achieving significant scale to that growth. The fee rates in Europe tend to be higher. And so, I'd say, generally, it's at the high end of that range. And because they tend to be, again, assets that are managed through existing teams, pretty good strong operating leverage. So I don't want to get into specifics in terms of saying where it is, but it certainly is operating at probably at the higher end of the range of operating leverage for us.
Christopher Harris - Wells Fargo Securities, LLC, Research Division: Okay, excellent. And then, just a quick follow-up on maybe capital management plans. Just kind of wondering what your appetite is now for incremental buybacks especially now that St. James is kind of leaving. Maybe, how do you think about that relative to perhaps the overall level of the market? Somebody, your peers, haven't been buying as much stock back as we would have thought. And I think there's been some pause due to where the market is trading right now. And so, I don't know, does that enter in your thought process at all? Maybe just a little bit more color on that would be helpful.
Loren M. Starr: I mean, certainly, the opportunities for us to purchase our shares at a what we will see is a discount because of people's reaction to current news is always attractive. I mean, generally, I'd say, our position around capital management is based on our policy or philosophy around capital which is, first, we're going to use our cash to feed our organic needs. Then we, obviously, are supporting an ongoing ever-increasing dividends. And what's left over is available for buybacks. And certainly, we're seen as we're growing more opportunity to return capital to shareholders. And that's, obviously, sort of seen in our dividend -- continued dividend growth. So I'd say, generally, our opportunity to continue to return capital, we think, is growing. We've not seen any real great opportunities nor do we have a strong strategic need to do acquisitions, which we've talked about. So that takes that off the table. And we certainly have locked in our debt levels by going out long. So we're not into any process to delever. So barring any other thing, any other initiatives, we're well positioned for more capital return. We still are working to achieve our goals to maintain sufficient cash on our balance sheet to give us ultimately what we're looking for to target financial flexibility. We've not quite achieved those levels yet. And again, I think the only thing in the backdrop is the continued discussion -- regulatory discussions around capital requirements for financial institutions and, specifically, asset managers is something that we're paying attention to as it might have some impact on our thinking around capital management.
Operator: The next question is from Michael Carrier, Bank of America Merrill Lynch.
Michael Carrier - BofA Merrill Lynch, Research Division: First question. Just on the one institutional redemption. Just curious if you had any color on asset class, like bucket or region?
Loren M. Starr: It was equity. Equity and it's in Asia Pacific.
Michael Carrier - BofA Merrill Lynch, Research Division: Okay, all right. So I guess, when I step back and I look at the retail number that you guys reported, and I look at the organic growth in retail. It's coming in at 6% or so. And I think if you adjust for the U.K. stuff, it's even higher than that. It just seems like it's a very strong number relative to what we've seen in the industry, particularly this quarter. And I know you mentioned Europe being strong outside the U.K. and the cross-border in the U.S. But I guess, does anything really stand out when you look across the products or the regions? And I know, Marty, if we look over the past couple of years since you did the [indiscernible] in the U.S. and investing in distribution here, and then doing the same thing on the cross-border, like there's been a lot of investment to drive the growth. It seems like that, that level is a lot better just given the volatility that was on the market. So I'm just curious, it was all that kind of playing out, or if there is anything specific that really drove it this quarter?
Martin L. Flanagan: I'd say 8 years later it's an overnight success. I mean, I think you're on the core of it. I mean, we have been absolutely focused to build an independent global asset management with a diverse range of investment capability to meet client needs. And I know that sounds so simple. But if you have to look underneath, and it's really the diversity of that flows, by region, by channel, by asset class, is really the fundamental strength. And where we have had -- we have some big holes to address. And we think we've really addressed them. And we think we're in a position that we're going to continue to do well through really almost any market cycle. Obviously, some are going to be more favorable than not. And I'd still say, when we get the more of an equity tailwind we are extremely well positioned for that.
Loren M. Starr: And one other thing I'll just mention is, I mean, obviously, we have great opportunity in Europe and in Asia Pac as well as in the U.S. But when you're large in a particular location, it's hard to grow organically consistently at a high level. But we're still, I would say, well positioned. The opportunity for us to grow outside the U.S. is enormous. And so, we think, in terms of our ability to grow really more quickly, it's probably more likely to happen outside the U.S. than in the U.S. And we have, obviously, have a great position there.
Michael Carrier - BofA Merrill Lynch, Research Division: Okay. That's helpful. And then, just a follow-up. I guess, just any clarity or guidance, I guess, on a few items. So performance fees, obviously, that'll come down. But just anything that we should be thinking about in the second or third quarter from a more seasonal versus the others. And then, same thing in the other expenses. Obviously, I know it's extremely volatile. And then, just on the institutional outlook. Just given that redemption, when you look at the pipeline, whether it's on the real estate, the alternative fixed income side, can you see any color there?
Loren M. Starr: So in terms of performance fees, I would say the step down will take place in the second quarter and third quarter relative to the first quarter because we don't have the U.K. trusts kicking in. But we've fairly been able to generate a reasonable amount of fees from bank loan products and real estate products and other products in Asia. So again, very hard to predict. But I do think sort of more in line with the $5 million level is probably more realistic. I mean, there's always the opportunity to do something bigger depending on if a particular fund kind of hits the target. And so, but those are difficult for me to ultimately predict. And so, I would just sort of suggest think about the $5 million level as sort of a general performance fee place holder for the next couple of quarters. And then, on other revenues, once again, I think probably we had a good quarter in other revenues. It may drift down a little bit into future quarters, but nothing material I think in terms of major changes there. And then, finally, on institutional flows and pipeline. I think we certainly have seen the SJP come and announce. That one's gone. Beyond that, the pipeline looks good. We see continued strong interest in our products, and our fee activity is high. So again, we feel pretty good, pretty confident that the institutional picture is going to improve. And certainly, we don't have any sort of large sort of Asia-esque kind of that particular outflow we talked about, the $3.5 billion. There's nothing like that on our future that we'll be worried about.
Operator: The next question is from Robert Lee, KBW.
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: I guess I have a question. You mentioned the press release taking some actions in some business...
Martin L. Flanagan: Robert, you're breaking up. Can you speak in the phone?
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: In the press release, you've talked about some business optimization initiatives took some charges. Could you maybe flush that out a little bit? Should we be expecting more of that? And kind of how should we think about that kind of impacting the margins going forward? I mean, do you have a specific type of cost-savings initiatives or objectives out of those initiatives?
Loren M. Starr: So -- well, I'm happy to answer that. So it wasn't initiative. There isn't anything like that, that you should expect going forward. This is something we've been sort of planning, thinking about for some time. It really, as you can imagine, we have a lot of offices in many different countries. And our footprint is somewhat tied to actions taken 10 years ago when we might have put a lease in place. And ultimately, the firm continues to evolve and change. And one perfect example would be as we continue to leverage our Hyderabad office more, we're adding more space there, continue to grow that. And some of the other areas where we might have been doing some of the activity that we expect will be done in India is shifting too. So basically, this was a cleanup that allowed us to sort of align our "who's doing what, where" better. And so, a lot of the colors, so to speak, I mean, was around other shared service office where we had something in Dublin, for example. That was -- we vacated some of the space there. So we are using more space in Hyderabad.
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: Great. And maybe the follow-up to -- if I think about the revamping of really the whole business in the last 7 or 8 years, whether it's distribution or infrastructure or products, I'm just curious how you're thinking about product pricing as maybe evolved. I mean, for example, you had a large product, a large account leave in your last quarter, $3 billion of assets but low fee. If you were -- if you're sitting where you are today, is that the kind of account you would take on today if there was a very low fee structure? I mean, how you've kind of thought about -- or change you're thinking about willingness to take on large low fee mandates?
Martin L. Flanagan: It's a good question. And I think you have to start by what is the asset class, right? So we feel we're in a position right now that we've highly competitive teams with real talent. And we, frankly, do look at capacity of teams. And if you have a high-performing team and there's limited capacity and somebody wants us to enter something below market, we're just not going to do it. And again, that you only get to that position by a strong investment performance and the like. And we're just really focused on total alignment with the clients. And it should be fair for both parties because mostly, if it's not, you get bad outcomes. And so, we just think we're just -- we're very systematic in how we think about pricing and capacity and the team's ability to manage money. And so, for example, they say we can't manage any more money. Then, we just stop. So you just really have to be quite focused. I think that's really the main theme that we would say.
Loren M. Starr: Yes. And again, I think if you -- I mean, fairly, even though it's low fee, it doesn't mean it's bad business. So I don't mean to indicate low fee is bad business and -- I mean, you can get scale in a particular account or a particular asset class. It very well may be the smart and economically correct thing to do to do that. We do look at that. We do have a discipline around that. So again, I think we do it pretty well.
Operator: The next question comes from Luke Montgomery from Sanford Bernstein.
Luke Montgomery - Sanford C. Bernstein & Co., LLC., Research Division: Just a quick one on the operating margin. How might we think about adjusting for the performance fees? And maybe you can remind me what the comp ratio is against those fees. And then, assuming a lower level of fees, would your margin have actually been sequentially higher this quarter?
Loren M. Starr: All right. So on the performance fees, I mean, the only thing I would say, I'll repeat. There's about $13 million in this quarter that's nonrecurring. I mean, it's probably going to go away. So of the $27.6 million, I would expect $13 million to not be there. And then, on comp base, it really varies from location to location and team to team. And so, I don't think it's a great sort of practice for us to sort of go in and talk about what the comp ratios are for each performance fee. So if it's okay, I'll probably just beg off on that one.
Luke Montgomery - Sanford C. Bernstein & Co., LLC., Research Division: Fair enough. And then, I just want to make sure I understand you correctly. Between Edinburgh Trust and St. James, we can conclude that pretty much all the Woodford institutional money is that experienced redemption, or have been renegotiated a lower fee rate. And then, it seems like the commentary on the U.K. business implies retail flows are basically flat in April. So can you confirm just seeing that picture clearly?
Loren M. Starr: So I would say you're largely correct on the institutional side, that pretty much everything big stuff is out. There maybe smaller, small-time kind of thing platforms but, again, marginally that was the big news. In terms of the retail side, we've been in outflow. And so, I think my point was more about we continued to be in outflow in April, but nothing has spiked off. There's been no reaction that's been sort of offered around any news particularly around the FCA announcements that we've seen so far.
Luke Montgomery - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then, final one, you've talked a bit in recent quarters about your efforts to increase recognition side, third-party distribution channels, and I'm talking about the U.S. here. I think you've been slightly frustrated about the progress there given your strong performance. So maybe an update on how that's going, and then your general thoughts around the sustainability of distribution advantages? And how those, like yourselves, coming from less strong position, can cope with that?
Martin L. Flanagan: Yes. It's a good question. I think we continue to work very hard to sort of get the recognition in the United States. And I'd still say, depth, breadth of the organization relative to the performance is still not fully appreciated within the marketplace. And so, we continue to make all the efforts to do that. I think the reality, as we've talked in the past, is it's always frustratingly slow closing that gap. That said, and we're putting our heads down and taking through how best we can close that gap. And frankly, from the sustainability of our distribution positioning, I think it does -- it's the totality of it all, right? It has to start with breadth of capabilities are strongly, consistently performing and I think we've not shown that for any number of years. But you do have to have distribution excellence. And I'd say the quality of our distribution capabilities throughout the organization but in particular in the United States, is up quite dramatically. And we think we're strong as any competitor in the marketplace. How we think about it, how we serve our clients, the breadth of coverage, the value added to the marketplace and, again, I think the competition -- if you don't have the resources to compete on the distribution side, I think you are going to be relegated to a second tier status. As the years continue, it's just getting much more competitive as you know. But we think we're very well placed against that thought.
Operator: The next question is from Marc Irizarry, Goldman Sachs.
Marc S. Irizarry - Goldman Sachs Group Inc., Research Division: Great. Marty, can you talk a little bit about the institutional business by, I guess, by client domicile? If you look at your gross inflows in institutional, they've stepped-up. I'm curious what asset classes or regions are you seeing the most, the biggest wins there? And is that sort -- are we sort of at a new level just given where you are in terms of your product breadth and your institutional capabilities across regions?
Martin L. Flanagan: Yes. So let me -- I'll pick up on some of that, and then Loren can add. So I think overall theme, pretty much globally, real estate bank loans are -- there's a desire globally. But then, when you start to move into other regions, you can get more specific. On the continent there's an focus where we've seen some big strong mandate wins through our quantitative capabilities. Even things like Japanese equities are very mandated, so we're winning in the continent. And when you go that out to Asia, again, you get bank loans, real estate. But again, global equities is a topic there. Asian equities is a topic there. So it just becomes broader in different asset classes in the different regions. We talked about ABRA as another one that you're seeing institutionally continued to have interest. And probably, not far behind that right now, emerging interest in the GTR capability institutionally, specifically in the United States, in the U.K., and on the continent. And we would imagine probably, in time, in Asia, too. So it is just the broadening of the mandates around the world is a very important element of that.
Loren M. Starr: And the other thing -- I mean, we're also seeing some of alternatives like Commonwealth Transportation Fund. That's funded. So again, it's in the U.S. That's probably more of a U.S. focus thing. Stable value in the U.S. So could vary from location to location.
Operator: Next question is from Eric Berg, RBC Capital Markets.
Eric N. Berg - RBC Capital Markets, LLC, Research Division: [Technical Difficulty] I'll give you a minute to turn to it.
Martin L. Flanagan: I think you got cut off in your first part of your statement. Sorry.
Eric N. Berg - RBC Capital Markets, LLC, Research Division: I was saying that it would appear that you have remaining in the equity income fund, in the U.K., $44.5 billion. First, can you give me the split between institutional and retail at this juncture?
Loren M. Starr: In equity income, it's, post the departure of SJP, it's like probably 99% retail.
Eric N. Berg - RBC Capital Markets, LLC, Research Division: Okay. So just -- I really have one question only. Going back to Marty's comment earlier and I'm paraphrasing, that the really tough stuff is behind us. What is the basis for that comment in the sense that we now have approximately $44 billion that includes the $13 billion, right? Is that correct?
Loren M. Starr: No. The $44 billion was the end of Q1. As of April, you got to take the $13 billion out, right? So...
Eric N. Berg - RBC Capital Markets, LLC, Research Division: Right. Yes. So the number is now in the neighborhood of $31 billion, virtually all of which is retail. Why is the world -- why is the tough stuff behind us? Why won't there be an enormous struggle for these retail assets?
Martin L. Flanagan: My point, Eric, is that the -- what I said was the large single-trigger asset pools, which tend to be institutional, which tend to move almost immediately. Those decisions have been made. The secondary point that I would say is, we're in a battle every single day with a broad range of competitors that have been in the market for decades that are strongly tenured high-performing money managers, highly resourced, and will continue to do that. And we do that very well. That's my point.
Eric N. Berg - RBC Capital Markets, LLC, Research Division: And would you say that the -- last question. Would you say that the loss of assets -- the percentage loss of assets institutionally provides an indication of what will happen on the retail side, or by no means?
Martin L. Flanagan: Say the question, again. I'm sorry.
Eric N. Berg - RBC Capital Markets, LLC, Research Division: Does what happened institutionally provide a cue or an indication for what will happen on the retail side.
Martin L. Flanagan: No. [indiscernible] I don't think we can do that. No. That's not the experience we've had historically.
Operator: And I'm showing no further questions.
Martin L. Flanagan: Okay. Well, thank you very much, everybody. And thanks for the breadth of questions and the depth questions. And again, look, we think we had a very solid quarter. And we're looking for good things in the quarters and years to come. And thank you very much. We'll talk to you soon.
Operator: Thank you for participating in today's conference. You may disconnect at this time.